Operator: Welcome to the global conference call of Daimler. At our customer’s request, this conference will be recorded. The replay of the conference call will also be available as an on-demand audio webcast in the Investor Relations section of the Daimler website. The short introduction will be directly followed by a Q&A session. (Operator Instructions) I would like to remind you that this teleconference is governed by the Safe Harbor wording that you find in your published results documents. Please note that our presentations contain forward-looking statements that reflect management’s current views with respect to future events. These forward-looking statements can be identified by expressions such as assume, anticipate, believe, estimate, expect, intend, may, plan, project, and should. Such statements are subject to many risks and uncertainties, examples of which are set out in the Safe Harbor wording in our disclosure document, and they’re also described in our Risk Report, in the Daimler Annual Report and in the most recent Interim Report. If the assumptions underlying any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. May I now hand you over to Dr. Michael Mühlbayer, Head of Daimler Investor Relations and Treasury? Thank you very much.
Dr. Michael Mühlbayer – Head, Investor Relations and Treasury: Good afternoon, this is Michael Mühlbayer speaking. On behalf of Daimler, I would like to welcome you on both the telephone and the Internet to our Q3 Results Conference. In order to give you maximum time for your questions, our CFO, Bodo Uebber will begin with a short introduction directly followed by Q&A. Now, I would like to handover to Bodo Uebber.
Bodo Uebber – Chief Financial Officer: Thank you, Michael. Ladies and gentlemen, we announced our third quarter numbers earlier today, and they are, again, strong numbers. Group sales increased in all divisions and revenue increased by 5%. At the group level, we posted EBIT of €2.1 billion from ongoing business. That’s an increase of 4% compared to the previous year. Also, net profit at €1.4 billion was at good level. In the third quarter, we also generated substantial industrial free cash flow of €1.5 billion, excluding the cash outflow for the recent Tognum investment and the pension contribution made in July. Our net liquidity remains high, at €10.4 billion. Now, let’s start discussing the performance of our divisions in the third quarter. Mercedes-Benz Cars continued its positive business development and set a new record with unit sales of 337,000 vehicles in the third quarter. The Mercedes-Benz brand also posted a new record, selling 315,000 units. Mercedes-Benz Cars posted an EBIT of €1.1 billion with a return on sales of 8% despite substantial headwinds, such as product changeovers, increased material and currency costs. In September, we started deliveries of the new M-Class to our U.S. dealers. The roadster version of the Mercedes-Benz SLS AMG was followed in the fourth quarter. In November, we will launch the new B-Class, the first of five new models in the compact-car segment. We’re also introducing our particularly fuel efficient 4, 6, and 8-cylinder engines and the eco-start-stop technology in additional models. In the new generation C-Class, for example, the C 220 CDI delivers fuel consumption of just 4.4 liters to 100 kilometers and CO2 emissions of only 117 grams per kilometer. Production is in the fast lane. We anticipate strong production in the coming months. We are targeting sales at a record level of 1.35 million units for the full year 2011. For Q4, 2011, we target EBIT at similar level to Q4 of last year. While we expect a continuing increase of sales and sustainable market development, we will be impacted, besides cost seasonality at year-end, by ongoing headwinds due to material costs, ongoing model changeovers, changes in sales structure and FX. At Daimler Trucks, we recorded EBIT of €587 million from ongoing business in the third quarter, which equal a return on sales of 7.7%. All business units positively contributed to our improving performance. The results increased for the third quarter in row. Daimler Trucks also achieved strong growth in unit sales and substantially surpassed the prior-year level with 116,000 vehicles sold in the third quarter. Trucks Europe/Latin America increased its unit sales by 21% to 43,000 vehicles. In the Medium and Heavy-duty truck segments, Daimler Trucks is once again the market leader in Western Europe and Turkey. Trucks NAFTA was particularly successful with 63% growth in unit sales to 33,000 vehicles. We continue to be number one in the overall segment of Classes 6 to 8 in the NAFTA region. Trucks Asia increased its unit sales by 2% to 40,000 vehicles. With incoming orders of 107,000, we posted a good number in Q3 2011. As of today, our order backlog extends into Q1, 2012. Daimler Trucks expects to post significant growth in unit sales in full-year 2011. Sales in Q4 ‘11 are expected to exceed the prior level based on our good order situation and stabilization of the Japanese market. For Q4 2011, we expect EBIT at a higher level than last year. While we expect higher sales, we have to deal with burdens associated with emission technologies, the expansion in gross markets, as well as cost seasonality at year-end. In addition, we have to account for the main part of costs in connection with the Actros introduction. Two-thirds of the €200 million to €300 million are booked in Q4 2011. In Q3 2011, we also settled the Tognum acquisition. That business is now allocated to the Daimler Trucks business. Let’s now move to our Van business. It again generated very good EBIT of €200 million. Return on sales of 9% was significantly better than last year and is, again, in line with our long-term objective. The positive sales development should continue. In the fourth quarter, we expect significantly higher EBIT than Q4 of last year. Daimler Buses achieved third quarter EBIT of €25 million. This positive earnings development was mainly due to the overall increase in unit sales, as well as positive exchange rate effects. The bus business targets sales of more than 40,000 units based on improved chassis business in Latin America. In the fourth quarter, we expect EBIT in the same magnitude of Q4 last year. Turning to Daimler Financial Services, it achieved EBIT of €337 million in the third quarter of 2011. The improvement in earnings was mainly due to lower provisions for risks and an increased contract volume. There were opposing negative effects on the earnings from higher expenses in connection with the repositioning of business activities in Germany. In the fourth quarter, we expect significantly better EBIT than in Q4 of last year, so much for current developments and our perspectives on our individual businesses. Now, let’s talk about our outlook at the group level. Based on our current market expectations, we expect to post group revenue of significantly more than €100 billion. In light of our good performance in the first nine months of 2011, Daimler continues to target EBIT from ongoing business to very significantly exceed the level of 2010. Business in the first nine months of this year has shown that we continue to make good progress towards our targeted rates of return to be achieved on a sustained basis as of the year 2013. These targets are based on the assumption that the economic and political environment as well as automotive markets; all remain stable. I fully understand your strong interest in our view on 2012. For now, I’ll say the following. Overall, we are well prepared for the coming year. Our global sales are far more balanced. We are benefiting from launching many new products, with more on the way. Inventories are lower. Residuals are better. We have improved working capital management. Sales and production are in alignment. We have a high production flexibility and a better cost position. And last but not least, we have a strong balance sheet with high liquidity. Here is a brief summary – summarized update on our scenarios. We are closely monitoring the economic parameters and the developments in our businesses. So far, incoming orders, pricing, inventories and our refinancing capabilities remain quite satisfactory. Therefore, from today’s perspective, we continue to expect our best-case scenario. In this scenario, we have to deal with less dynamic growth, but no recession. Based on general growing passenger car markets, primarily supported by demand in China, the U.S., and Russia, and our new products, we expect increasing unit sales. For our Truck business, we expect higher truck demand in the NAFTA and Asian region. However, the development in Europe, in particular, is anticipated to be more moderate and will very much depend on order intake development in the next weeks and months. While it is true that the risk of a double-dip scenario has become higher over the course of this year, a deep decline is still the less likely scenario. Currently, we don’t foresee it supported from the market side. Now, I look forward to your question. Thank you very much.
Michael Mühlbayer: Thank you very much, Bodo Uebber. Ladies and gentlemen, you may ask your questions now. I will identify the questioner by name, but please also introduce yourself with your name and the name of your organization before asking questions. Two practical points. Firstly, please avoid using mobile phones, and secondly, please ask your question in English. Before we start, the operator will explain the procedure.
Operator: (Operator Instructions)
Michael Mühlbayer: Okay. The first question is from Stephen Reitman.
Stephen Reitman – Société Générale: Yes, good morning. Stephen Reitman from Société Générale. Couple of questions on the Mercedes Passenger Car group, the guidance basically is that the extraordinary costs are going to burden Q4, as well. So margin-wise, it looks like we’re not going to see a significant improvement from the margins seen in Q3. That’s my first question. Is that correct assumption? And secondly, if you could comment on the situation in China for Mercedes for passenger cars, what – how much progress are you making in terms of rationalizing the whole wholesale operations in China and the impact that it’s having on your pricing? Thank you.
Bodo Uebber: Stephen, thank you for your questions. Of course, you are right because we gave this pretty much concrete guidance for Q4 to be at the same level of last year and the effects, which we have mentioned in the third quarter, are more or less the same by title, also in the fourth quarter. That means also the changeovers of model – the material costs, or raw material cost side of the business, and some currency impacts beside of course increase of sales. I hope for your understanding that we don’t give margin targets for quarterly developments. In total, we will stay with our message that the total year margin should be better than the 2010 margin. On China, your question, how much progress in the rationalization that we did in China regarding organization, of course, we did the first part that we integrate both organizations, so to say as the kick-off, the first topics, which were decided were that we do, for example, joint campaigns, so not anymore differently for CKD and CBU, for example. And the second one is, for example, that we installed district managers, only one, so to say, for both organizations, which are now one organization. So, we do well in the – that what we wanted to achieve to have one organization, one process behind in our sales organization. With regard to pricing, in total, our pricing does well in general when we compare all sales in total by all markets compared to 2010. In China, we do – we have, of course, also a great potential for our sales in the future now by putting together the sales organizations. The overall pricing in China is, in average, lower than in other markets in this world, so comfortable. So I don’t worry about the pricing side. That we help by some campaigns to optimize our sales channels is something we need to do, which is not really impacting our pricing positioning in China.
Stephen Reitman – Société Générale: Thank you.
Michael Mühlbayer: So, next question we take from (Jochen Gehrke).
Jochen Gehrke: Good morning. Just three quick questions, first of all, on Trucks, in the quarter, seems like you’re very close to the 8% margin target that you stated. Could you give us a feel where you stand regionally, knowing that in the past you always said 10%ish for the (indiscernible) business, 8% for North America, and then it falls around the 5% number. Is that still the goal and where are you per region? And then, specifically, to Fuso, now that business seems to be coming back to normal, I think you took a review of the business on that basis. What has been the outcome, please, in case this is already concluded? And then finally, more a technical question, you’re including Tognum in the Trucks business. I suspect this is going to come also in the operating profit. This is a similar procedure with your Chinese joint ventures that you do at Mercedes, none of which are really material, but why are you including these at equity results in operating profits? And secondly, what is the contribution that we should expect there? Thank you.
Bodo Uebber: Jochen Gehrke, thank you for your questions. With regard to Trucks of course, there is no change in our regional objectives and goals we have set for our regional targets. They are confirmed also, today, there is no change in our overall targets. Regional-wise, as we said, every business unit contributed positively to the performance, so also not only quarter-by-quarter in the comparison, but also in the third quarter profit. When you ask me from the – we, of course, you know that we have also in this quarter when we compare that with our targets, we have the highest profit, of course, within the European and Latin American business. That is no secret, I would say. The other one, of course, followed by our NAFTA business and then third by our Fuso business, I do think that ranking, so to say, is a quite clear one. Fuso did well. We have a recovery plan, discussed in July, that is – was perfectly implemented, so to say, not only on the costs side, on the ramp-up side, but also on the sales side. I do expect also for the fourth quarter, a reasonable development of Fuso due to this recovery, and every other aspect, we have to see. I do think it’s a special situation that we also see the Japanese economy impacted by the, I would say, aftermath of the catastrophe in Japan where also the government is putting a lot of money into the market and we can clearly see this development. Your third question with regard to Tognum, of course, first of all, why have we put Tognum to the responsibility of Trucks, because that is the reason why we are doing it. It is related to the Truck business. You know that we have a lot of deliveries to Tognum on the one hand, and a lot of more potentials which we believe the Truck management should focus on. And therefore, it’s included in the Truck business. We will – I do think most of the time, we will distribute also to the market what the impact of Tognum within the Truck business is, so that means you can clearly differentiate between the Tognum performance and the Daimler Truck performance, if you might differentiate between the two topics. On page number 32, in our Interim Report, you can see the impact in Q3. It’s €11 million. And in total year, total nine months, it’s €21 million. So, we believe that it is better to put it into the disclosure of the divisions because we have a clear rule in our company that the division of responsibility should be seen in the divisional results. And that is the reason why we are putting the equity results also into the divisions. Jochen?
Jochen Gehrke: Yeah, sorry. Thank you.
Bodo Uebber: Okay. I do think that is the answers to your questions.
Michael Mühlbayer: Okay then we go to the next question here, it’s Thierry Huon.
Thierry Huon – Exane BNP Paribas: Good afternoon, it’s Thierry Huon speaking from Exane BNP Paribas, two questions. First of all, in terms of working capital development, what are you anticipating for Q4 and what kind of cash position are you looking for at the end of the year? And secondly, on the Truck demand, when we look at your book-to-bill ratio, it’s now below 1. When – for your main competitor, it’s still above this level. How do you explain this discrepancy and are you planning any cut of production for Trucks in Europe coming soon?
Bodo Uebber: Thierry, to your questions, of course, you know I don’t want to get in a discussion of where net liquidity stand at the year-end, but to give you some other informations, we have stated in the beginning of the year that we will deliver €2 billion to €3 billion in free cash flow. That was not included the contribution to the pension assets of €1.5 billion and the Tognum investment. When you see our numbers as of September, we are clearly heading into this direction. From an inventory point of view, or working capital point of view, and I will comment now on inventories. We had – end of the third quarter, we had, in Mercedes-Benz Cars, roughly 200,000 units, which is more or less a too low number. Normally, we would be more. In the Truck business, we have a reasonable inventory at September for Europe, a more or less too low number for NAFTA. And we have increased our inventories in Japan due to the recovery process we had in the last couple or three months. So, for Q4, I do expect a further increase in inventories in Cars due to one, seasonality, on the one hand, preparing for China and the U.S. and so on and so forth, so an increase there. We would see in – a reasonable further development in Trucks. We would also have a vacation transfer, to say, or break-time in Trucks starting mid of December – changeover of the Actros again, and some facilities we have to repair, so a kind of preparation time there. So I don’t expect big movement there, but means in total, maybe a burden in the working capital, but as I said before, we will deliver our €2 billion to €3 billion cash flow for the total year and that means that our net liquidity remains strong and stable. The book-to-bill ratio in Q3, it’s always difficult to compare quarterly results of book -to-bill with competitors because when you go before in Q2 and Q1, it was in a different – it was different. For example, in the U.S., we had large fleet deals in the second quarter, and that is something, of course, which cannot come through in order intakes every quarter. So, for the current situation year-to-date in September, we are doing fine. The order intake as such, as I mentioned in my speech, I do think the biggest watch list we do have is Europe. There, we have to see the development in the upcoming months and weeks, and that defines more or less the scenario in Europe for 2012, whether it is positive – what we think today, but of course it could also turn to negative. And it depends on the order intakes. Your last question was?
Thierry Huon – Exane BNP Paribas: About possible production cut in the Truck?
Bodo Uebber: Of course, in Trucks, of course, we are highly flexible, I have to tell you. The flexibility we do have in Europe between (indiscernible) is a high one. So, if you are well prepared to react – and of course, you have at every point in time some reaction, so the nervousness in Europe is, I would say, the highest one amongst customers and therefore, we have already adjusted a bit our production in Europe. And, therefore, but anyway if we have to adjust again, we will do it because you know that we have a higher flexibility also in (indiscernible). It’s between 50,000 units and 100,000 units roughly, and again, we have our network to (indiscernible). And the same holds true in our flexibility for freightliner where we have the network between Mexico and the U.S.
Thierry Huon – Exane BNP Paribas: Thank you.
Bodo Uebber: Welcome.
Michael Mühlbayer: Thank you. Our next question, we take from Daniel Schwarz.
Daniel Schwarz: Yes, thank you. Also a question on Trucks, the pick-up in orders in Latin America, is that mainly the pre-buying in Brazil? And what’s your expectation for 2012? Will that fall significantly? And is it right – is my understanding right, you have not seen, like (indiscernible), a significant slowdown in orders in September and in October so far, in Europe? Thank you.
Bodo Uebber: Daniel, to your question in Brazil, we have not seen yet pre-buy effects in Brazil, so they should come up in the next – we all are waiting for them, so to say. They should come up in the next two months. Everybody, I do think, is prepared for the situation, no doubt. And for Brazil as a market for 2012, you would see based on these pre-buys, more – a stronger first quarter, and then, of course, a slowdown if we would see this pre-buy effect. And even this, of course, we have to discuss in February. Your second question with regard to…
Daniel Schwarz: Orders in Europe, whether….
Bodo Uebber: Orders in Europe, of course, you have a seasonality normally in August and September, and of course, there’s a little bit of a slowdown in order intakes currently, but as I said before, the most important question is now how the next couple of weeks and months will develop. Our order intakes are reaching until the first quarter 2012, but again, the question is what will be with the total year, and that will be defined in the next upcoming weeks and months.
Daniel Schwarz: Okay, thank you.
Bodo Uebber: Please.
Michael Mühlbayer: Okay, thank you. Next question, we take from Kristina Church.
Kristina Church – Barclays Capital: Yes, hello, good morning, it’s Kristina Church from Barclays Capital. I have a number of questions. Firstly on the Trucks business again, I was just wondering if you’re seeing any impacts of the SEK, such that your Scandinavian competitors have been pulling back. I’d – noticing your market share was significantly strong in Europe in the quarter, and whether you think that there’s any impact there from currency? The second question is, looking at Mercedes, I’m just wondering if you could give us any numbers around the B-Class and the cost savings that you see from the new B-Class versus the older model? The third question is on the Financial Services business. It was obviously a very, very strong quarter for that business, with return on equity at 24.6%. I’m just wondering, is this a fully clean number or were there any provision releases or write-ups in the quarter or was it just purely related to the reduction in cost of risk? And then very finally, just if you could give us a little update on FX and how much of hedging you have now got in place for 2012? Thank you.
Bodo Uebber: Thank you for your questions, Kristina. It would be helpful only in the future to be a little bit slower in – if I make this remark.
Kristina Church – Barclays Capital: Sorry.
Bodo Uebber: In asking questions, just to get it done that we do everything right here. So, for Trucks, currency-wise, I do think it was currency what you asked, is we are pretty much naturally hedged. Therefore -
Kristina Church – Barclays Capital: I am sorry the question was more the currency impact on your competitors. Are you seeing that as a positive for yourselves, in terms of market share gain?
Bodo Uebber: Of course, you know, I don’t comment competitors, I’m sorry to say, so you can ask me a lot of things about our numbers, but I don’t want to go into the details because then I have to analyze everything what we will do, but ask please our competitors these questions. Sorry.
Kristina Church – Barclays Capital: Well, could you maybe then, sorry, comment on pricing within Trucks in Europe? Are you seeing a strengthening in the pricing environment?
Bodo Uebber: Of course I can, of course, pricing environment, of course, is a high one, but that is not only true for the last three months, it was also true for the last six to seven months. You saw us also losing some market shares, mainly in Germany. We have recovered in the third quarter, especially in September, with – see our numbers of market shares going up again. And there is no change, I would say, in the competitive environment, but again, it started already in March, April or so that it got tougher here in Europe. In Brazil, it’s more or less the same situation as everybody, but we not – but every competitor worked on capacity increases, and therefore, the situation is also very competitive, the pressure is high in Brazil. In NAFTA, of course, we have the EPA ‘010 introduction, we stay here on course to get our pricing right and we are strong with our product, with our engine. So, therefore, we stick to our high discipline in NAFTA, further because we are so strong on the product side. You had a second question with regard to Mercedes B-Class, and I would say I would not answer now the B-Class, as such, as a successor, but all our successor models of the new platform, we do five new models, of course, is more profitable and more efficient and effective, like the further one, but we don’t comment that on details. Your question with regard to Financial Services and the – whether the number, I do you asked, is a clean number. Of course, there are – the risk situation in the third quarter is more or less, again, very positive compared to long-term average situations. We had this situation again in the second quarter, but now again in the third quarter, which is good, and that led to some releases again of provisions. The total amount, I would quantify, around $50 million, which is included here in the €337 million and therefore, of course, a number would have been somewhat lower, but I’m very pleased with the performance of Financial Services and I do expect here also a good development in the fourth quarter. FX 2012 – was your question, I remember that I do think it was….
Kristina Church – Barclays Capital: The level of hedging…
Bodo Uebber: (Indiscernible) in the second quarter with regard to the $1.45, we had end of July, and you see how volatile this business is. About the 2012 impact, at this time, I answer the question, €400 million to €500 million would be the impact in 2012 if we would see a – average year, $1.45 in 2012. Today, I can report to you – take the same example, if the currency would be at $1.45 for the total year, the impact would be €300 million, means our treasury has done a good job in the last couple of weeks when the currency tended to €1.35, we did some more hedges and so we could bring this number again somewhat down and we are working on further opportunities.
Kristina Church – Barclays Capital: Great, thank you very much.
Bodo Uebber: Welcome.
Michael Mühlbayer: Okay, this gives me the opportunity to take Arndt Ellinghorst.
Arndt Ellinghorst: Everyone, first question is on China and whether you see some moderation of the pricing environment especially in the C and E-Class segments. Some of your competitors are quite open about this. And the second question is really on relative performance. You have the status – stated objective to become number one in terms of profitability growth and general performance of the company. And – of course, you reported a solid quarter today. At the same time, we see Volkswagen reporting a 13%, Audi margins called out profitability at the level of Mercedes, roughly, and a free cash flow in Volkswagen at the level of the market cap of Peugeot, so in other words, just extremely strong figures there. Are you, by any means, concerned about your relative positioning at Daimler? And also – if you could maybe share some thoughts of what you think could be done within Daimler to enhance the profitability more structurally moving forward, that would be very helpful? Thank you.
Bodo Uebber: So, Arndt, I hopefully quoted you right with your second quarter question on the dollar, I do think you were the one asking the question. Price in C and E-Class, of course, as – you know that we have to bring together this organizations on the CKD and CBU business and therefore, of course, that needs be done and therefore, of course, there might be also some campaigns and other stuff to bring this really together. And that might lead to the one or the other pricing, what you would see and you get comments from dealers and our competitors, but of course, we are, as I’ve said, we are bringing these organizations together. So, I’m very optimistic that that will lead to a – from the sales point of view, to a better situation, but even from a pricing point of view, to a better situation in China. So, I’m optimistic. I’m not worried about the third quarter development at all in pricing, especially also to China. The second question you had, relative performance, of course, what we do is on a – of course, more structurally, so we are analyzing all the reports where the competitors are. And we do that by quarters, and of course, we see second quarter, of course, 14% with BMW. I do think it was 12% with Audi, somewhat and as was 10%. We are now at 8% with some explanations, of course, we have some impact on the model changeover, then – and FX and other topics. So, the question is, how sustainable are the competitors with these numbers? If they would be over a longer period of time on this level, of course, we have to think about whether our targets are long-term targets, are the benchmark targets, finally. Currently, I don’t see BMW changing their 8% to 10%. So, they’re keeping there the range. So, that is for me, of course, also a hint that we should not change our 10%. On the other hand, Audi, I even don’t know whether they have a target out there – over 10%, I do think, but there you have to see how they do all the stuff within Audi, let’s take BMW. So, therefore, I do think it’s important for us, first, to achieve the targets in MBC and also in Trucks, and then to think whether there is a – is there any impact or comparison to competitors, which lead us to re-think this kind of approach. And from my point of view right now, it’s too early – there is a huge volatility, of course, in the market due to FX, due to raw materials and other stuff, to come to the conclusion that we have to – should think about a change in our target, anyway, but we are open to see what the competitors are doing. So, that means once in a while, of course, it could lead to a change in targets, if you would see it would be on a sustainable way. The cash flow you are mentioning, I do think we don’t have to hide our cash flow right now, because a free cash flow in our definition, which we take as year-to-date €2.2 billion, I do think for September. So, we are heading to €2 billion to €3 billion, so more than – by far more than €2 billion. And I saw the numbers of the VW, they are, I do think, at €1.1 billion in this quarter – not very – so, not stronger than we are. So, therefore, I – in the cash flow, I don’t see the topic, although knowing that we are investing over-proportionately a lot in CO2 measures in the Actros right now, when you take everything together, we have held a joint venture with Foton. So, we are in an investment phase in Daimler, both in Trucks and in Passenger Cars. It is true, based on our long-term strategies, and that we have to keep in mind, but we do that not for getting our returns down. We are doing it for getting our phase numbers up and sticking to our long-term profitability.
Arndt Ellinghorst: I didn’t mean that you should change your targets at all because we all agree that it’s more likely getting tougher than any easier here. But firstly, I think, Volkswagen really generated €3.8 billion in the quarter. And then, in addition to that, asking about Daimler more structurally, if – you as a CFO, I mean, do you see any areas within Daimler where you would think there’s the biggest potential for you to enhance your profitability when you go through the different lines?
Bodo Uebber: I do think we have commented on this a lot. I have to look at the VW numbers and, again, quarterly numbers are difficult to judge finally, but structurally, I do think we have lot of potential in getting our business to the benchmark target. In Trucks, we have defined right now we have a strong quarterly development. We have closed the gap somewhat to our competitors. I do think that is good news. We have now to work on further closing the gap and doing our job. We have a huge investment into the Actros, keeping that in mind, the underlying profitability in Trucks, I’m very happy with the direction, and finally, we will make our long-term targets true. Again, in Cars, you know again that we have our product portfolio right now in the industry is older than – relatively older than that of the competitors, it is one of the main parts. And secondly, we have a lot of potential with regard to our modular strategy for the future. So, I expect these both topics to bring us near to our – near and then finally over and above our competitors. The reasons which we have the – in which fields we are – where we would like to attack, of course, are not differently than we have talked about in the last two quarters.
Arndt Ellinghorst: Many thanks.
Bodo Uebber: Welcome.
Michael Mühlbayer: Okay. Next in line is Jose Asumendi.
Jose Asumendi – RBS: Jose Asumendi, RBS. Thanks very much. Just three questions, please. The first one on Passenger Cars, and just looking at the revenue evolution of the auto business in Q3 year-on-year. So, in terms of markets, what had a bigger impact: currency or mix? And then, if we will follow your unit sales guidance, do you think it would be reasonable to assume auto sales down year-on-year in the fourth quarter? And the second question would be in relation to your Truck production in Europe, if you have a number at hand, what has been the reduction you’ve done in production there? And what are you planning for the months of November and December? We’ve heard a lot of detailed comments from Volvo and Paccar. And then the third one is on the Actros. Could you just remind us exactly what does this – what are these launch costs for the Actros, and why didn’t we see a larger proportion falling in Q3? Thank you.
Bodo Uebber: Proceed to your question of mix and foreign exchange. Foreign exchange, you can clearly see in our (indiscernible) which we have distributed in our presentation to the capital markets. The foreign exchange rate effect between Q3 2010 and Q3 2011 was €180 million in Cars and the number on Daimler was €191 million for the total group. When you – oh, sorry, for the group, the group was €130 million and the Car side was €191 million as disclosed in our presentation. When we look at the development between Q3 2010 and Q3 2011, we had a structural effect, a negative one, of course, and we don’t disclose the numbers. It was also combined with the foreign exchange effect that was only – was one-third of the structural effect. And we have a positive effect from the secondary business, which means after-sales, of course, that is more or less a stable number. And that brings a positive effect in the revenue per unit. With regard to your question of production in November and December for Europe, of course, for Europe, as I said already before, we have adjusted production slightly downwards. We have, on top, a preparation time for the facility preparation in Wörth for the new Actros. Therefore, we have discussed a downtime in Trucks, which will start, I do think, in the second half of December and lead into January. So, we have a lot of flexibility, so to say, to react on every possible scenario, whether it depends on the order intakes, of course, over the next couple of months. So, that’s to Europe. The Actros, of course, you mentioning – you were mentioning the Actros impact in the third quarter, it was one-third, and in fourth quarter it will be two-third of the already mentioned €200 million to €300 million of changeover costs in that. So, it was already an impact in the third quarter.
Jose Asumendi – RBS: If I may, am I totally off with revenues down year-on-year on the fourth quarter in autos, or is it still – is there still a chance that your revenues will be up?
Bodo Uebber: So, we do – no, we don’t give this guidance. Of course, our – you know our – in fourth quarter in Passenger Cars, of course, we are heading over the total year to the record level of 1.35 million and that would assume the higher sales number in the fourth quarter, but you know also that we have a lot of B-Classes and smaller cars in the fourth quarter, but we don’t give a revenue guidance, the EBIT guidance is same quarter, the number will be at the same level than the fourth quarter in 2010.
Jose Asumendi – RBS: All right. Thank you.
Bodo Uebber: Please.
Michael Mühlbayer: Okay. Next in line is Fraser Hill.
Fraser Hill – Bank of America: Oh, hi, good afternoon. It’s Fraser Hill from Bank of America, just one further question on the Mercedes-Benz margin. Can you actually give us the launch costs for the B-Class and, in fact, the M, that might have affected the third quarter and actually what you think that will be for the fourth quarter, as well? Outside of Mercedes-Benz in Vans, you seem to have made it to a new level of profitability. What’s really the factor behind that, and can you give us any confidence on the outlook in terms of orders? And then one housekeeping element on the interest line. That sort of swung into positive territory. Is there anything unusual in that line in the third quarter, and how should we think about that going forward? Thanks.
Bodo Uebber: Fraser, to your question of the launch cost of the B-Class and in L, in the third quarter we had a couple of hundred millions as an impact, and we do expect the same magnitude also for the fourth quarter. Your second question was with regard – profitability level and what is the – so, I couldn’t – we couldn’t get this question. Can you repeat it, please?
Fraser Hill – Bank of America: Sure, yeah. It was just about the Vans division, and looking at your margins now, you’re up towards, pretty consistently, kind of 9%, which is somewhat dislocated from history. And I was just wondering really what’s behind this and how much confidence you’ve got on that continuing?
Bodo Uebber: Okay. For the Van division, of course, we are more or less heading to our long-term target now, of a few quarters in a row. The main impact that we are right now here, of course, are based on the market development, which is pretty good. Our product, in terms of market share, very well, the Vito, Viano is doing – is better, the Splinter is also doing good. A lot of comes from the pricing side in Van, with more Vianos, of course, which have a higher sales contribution than the Vito, for example, pricing is doing good and the mix is good. The option-takes are on the strong side, so this all is contributing to the good performance in the Van business. I do expect this performance, going forward, very solid. That does not mean that we might be every time at 9%. We have more fleet orders to come in the fourth quarter, so we have a lessened fleet in the first nine months, but we are pretty strong and consistent in the Van business. Then you have the interest rate impact, your question – you were questioning, we had a positive impact on the – on derivatives – on the hedging instruments. So, we have implemented a new method, a more detailed one, in the accounting side, and by this quality we had to adjust, so to say, in the third quarter a good guy of €100 million.
Fraser Hill – Bank of America: So, around €100 million, or a few hundred million?
Bodo Uebber: No, it’s around €100 million.
Fraser Hill – Bank of America: Okay, great. Thank you very much.
Bodo Uebber: Thank you.
Michael Mühlbayer: Okay, next question we take from Adam Hull.
Adam Hull – WestLB: Hi, good afternoon, Adam Hull from WestLB. I have two question on Trucks, and then a second one on R&D – a third one on R&D. Firstly, on the Trucks, could you just give us a little bit more on the incoming orders in Western Europe? You quote 2% up in the quarter, Q3 as a whole. Could you just tell us whether September was up and down, and what the indications are for October in Western Europe? And then, secondly, Q3 global Truck production, I think, was up 28% year-on-year. I think it was up 12,700 more than revenue – than unit sales. And then it’s only 5,600 higher production in Q3 last year. Just where have you been building up inventories? And to what degree are you comfort in that you don’t have any excess inventories, particularly in Europe? And then finally, sorry, on R&D, the capitalizing was about €198 million above amortizing. So, you’re kind of getting towards 10% benefit on your P&L there. Should we continue to be running with that kind of a number, towards €200 million a quarter?
Bodo Uebber: So, Adam, to your second question, of course, is the inventories, I commented already that we have this ramp-up in Fuso. And that led to this higher production numbers and also to the higher inventories in Fuso, which will get into revenues in fourth quarter, and therefore, is a natural development. The inventories as such in Daimler Trucks is on a very low level in freightliner and on a reasonable level in Europe. Latin America, of course, we will prepare for this pre-buy effect, so they’re also slightly up, but of course, based on the pre-buy effect, also, on a reasonable level. Order intakes – I don’t want to comment more, as I already said, of course, there is some nervousness in the market as we said before, and the order intakes slowed down a bit. And our order backlog is reaching until the first quarter 2012, somewhat, and there we have to see and to watch the development of order intakes in the next few weeks and months. I do think it’s also difficult to draw a conclusion from a week and days, and therefore, we will wait until we have concluded now in October and make up our mind. I do think the most important message here is that we have flexibility in our operations, and that makes a fast reaction, if needed, we can do it – we can fast react in our production flexibility. That is the main message you should take away. The R&D development is a very – is a normal one. We have, of course, put a lot of stuff is capitalized in – it’s more or less on the Daimler side on the same level than the second quarter, our cash R&D is higher than in second quarter and our expense R&D, too. That means, in total, R&D was a negative in the development and it is included in our EBIT numbers. Of course, when we capitalize a lot, when we start production, for example, for the successive models of the A and B-Class, you start to expand it, so to say, but that is a normal course of business.
Adam Hull – WestLB: But would you, if I – just on 2012, would you expect that gap, which is a pretty big gap at the moment, would you expect that gap to narrow, or are you broadly similar to the kind of rates you’ve been doing for the last few quarters?
Bodo Uebber: Of course, directionally, of course, you will expense more in the future because we have more unit sales, of course, and then you have – you would narrow the gap somewhat, if you might say so, but it depends a lot of our long-term strategies here.
Adam Hull – WestLB: Okay, thanks.
Bodo Uebber: Please.
Michael Mühlbayer: Okay. We take the next question from (Philip Maloney). Hello, (Phillip).
Philip Maloney: Oh, hello. I was wondering if you would perhaps comment on the sharp increase in the selling and general and administrative costs year-over-year. Given that revenue is up by 5%, it’s somewhat surprising to see that the selling costs are up by 9% and that the G&A costs are up by 21%? So, that’s my first question. And my second question, then, is on the – it’s related to Jochen’s question on Tognum and the allocation of Tognum to the Truck division, which either we can all approve of – and it is good that businesses are put into the appropriate pot for us to analyze. But given that, can you maybe comment on the fact that on page 86 of your annual report, if I look at the employees by division, I see a figure of almost 50,000, which isn’t allocated to any of the divisions, but is just classified as sales organization. What on earth is that? Thank you.
Bodo Uebber: (Philip), again to your question of Tognum, I will again answer it, so you do think it is not problem to analyze the numbers because we will always disclose the Tognum effect in the Daimler Truck business. So, you have the transparency to adjust your numbers if you might like to, with regard to Tognum. The sales organization of 50,000 employees are the sales organization which is doing the job for Mercedes-Benz Cars, for Trucks, for Vans and partially, also, for our Bus business and, therefore, that is the complete sales organization of Daimler, which, of course, is internally also broken down into divisions and functions and, therefore, we are all together. There was, once in a while, a question whether that is too big. You have to keep in mind that we have also a high retail business and share in our business. That is mainly true for our Car business and therefore, these numbers are also included here. Our total retail business is in here, and also our service network. The G&A and sales and marketing costs, third quarter – of course, third quarter, our development, which you should not really look into, I do think the year-to-date numbers are the more effective ones to look into in the sales cost. Of course, you have developments, which are not purely related to our sales employees, but also with regard to customs and logistics. They are included here in this number of sales. We had also the International Auto Show, for example, which is also incorporated here and some expenses. And therefore, of course, when you look at the third quarter and third quarter last year, they are pretty much okay and in line, they are under proportionately growing. Then revenues, you have also to take into account that we have once in a while to consolidate some new companies we have in our scope, and this consolidation effect is also included. So, when we look at this numbers from a year-over-year comparison, that is a under proportional increase, which is, of course, good for these kind of costs.
Michael Mühlbayer: Okay. Next in line is John Lawson.
John Lawson – Citi: Thanks. John Lawson of Citi. I just wanted to ask, please, about the cadence of product and changeover costs because I’m wondering how persistent these may be over the turn of the year and into 2012. For instance, on Mercedes-Benz, I mean I’d assume that the model changeover for the A and B platform was perhaps the most burdensome of the two product changes you’ve just been taking. And aren’t there four of the five models still to launch there plus the new plant start-up at the beginning of the year? So, the question really is won’t you also be telling us in 2012 that there are significant launch costs here? And really that – the same question for Trucks and the Actros, as I understand it, you will really produce very few Actros, new model now in 2011, perhaps you can confirm that, but it does seem that the burden of running with two product lines will also be very relevant for 2012. So, I was just hoping to have a comment on that. Thanks a lot.
Bodo Uebber: To your questions on the – was a very good question to the changeover costs, especially to the B-Class right now because you’re totally right. This is a new platform, which is – that we are basing on the five derivatives, and new engine means a new power-train, and therefore, the cost burden, of course, is higher than normally when you have changeover costs where you stay with the platform. And that makes it more expensive, of course, here for the successive models of the A and B-Class, as I mentioned before, a couple of hundred millions in the third quarter as an impact. In 2012, we will have a lot of more new launches. We have the new SL, we have the new A-Class, we have the E-Class, the Shooting Brake introducing and finally also the GL at the end of the year. And we have, more or less, a – we will launch, so to say, or start, a new plant called Kecskemét in Hungary. And therefore the total burden of launch costs in 2012 will be higher than in 2011. I don’t want to quantify them now, but they are higher than the ones you see in 2011 based on that, as I mentioned before, the plant, the new – or total new platform. And of course, we will have, according to our long-term product plan, again, launch costs over a couple of years, of course, where we are launching 10 new models in Mercedes-Benz Cars. That should not mean right now that I would bring the numbers and returns down. It’s just to comment on the changeovers. The Actros, of course, will have a step-wise approach of introducing, we have three different segments. Now, we launch the first segment, so to say, and you’re right, the numbers of deliveries are not too high. Right now that’s quite clear, we are first of all doing our demonstrators and everything like this and it is, of course – it was also planned for a slow start. The good message is that it will be on the same assembly line than the old one. So, we don’t have two assembly lines here, we have the flexibility to do the one or the other. So, that leads also to further cost of introducing of the Actros in 2012 and 2013, no doubt, and we have to cope with that cost, as we did it now in the third quarter, also in the upcoming years.
John Lawson – Citi: Okay, thank you.
Bodo Uebber: Please.
Michael Mühlbayer: Okay. Next in line is Horst Schneider.
Horst Schneider – HSBC: Yeah, hello, Horst Schneider from HSBC. A couple of follow-up questions, if I may, and some new questions. First of all, you said with regard to inventories at the moment at Mercedes, you have got around about 200,000 inventories, and said that it’s below normal. What is your normal inventory level then? And follow-up with regard to foreign exchange, so how many percent of your U.S. dollar exposure for 2012 is now hedged? And then two other questions, first one relates to Toll Collect. When is the next meeting at court with your counterparty? And the last question is then on pensions. I want to ask how much is now the unrecognized actuarial net loss with regard to your defined benefit obligations? Thank you.
Bodo Uebber: Most of your questions, of course, I mentioned the 200,000 units end of Q3 as a low number. It is a low number because we are – that number better than plan. I don’t want to distribute now other numbers, but due to this long transition to China and the U.S., there could be – we could have even in some countries, some more inventory so to say. So that means to bring the inventory numbers here a bit up, but currently we are 200,000 units. The FX 2012 is two-thirds – hedged by two-third, it is structural forwards and options. Toll Collect, I don’t think that the conference call is based on discussing dates when the next meeting of Toll Collect is, sorry to say so, and sometimes dates which are on the press are not right, or on the other hand, they get postponed because somebody is ill or whatever. So, wait when you get the next messages there and of course, it is a long-term arbitration process, you know it. And your fourth question with regard to the impact on the actual losses of 2010, they are roughly €3 billion in total – in total, they are €3 billion. When you look at our impact between the EBIT and the net profit we have disclosed there, I do think roughly €95 million, €98 million which is booked between EBIT and net profit, which is more or less covering the interest side.
Horst Schneider – HSBC: But, given the fact that IFRS is about to change, do you think that your pension provisions will be shown higher in the future, by around about €3 billion?
Bodo Uebber: Yeah. What will happen in this accounting change will be 1st of January, 2013 we have to increase our provision in the amount of the underfunded provision. It would be currently roughly €3 billion, which we have to increase a provision that will not go through the P&L, but it will reduce our equity, and our equity ratio right now is with 48%. So we are quite high with the equity ratio. So, I don’t have any topical that it gets maybe reduced now on the – if you would do it today, on 43% or 42%, so it – then it means that the number would stay high again. And the rating agencies are all knowing this gap and the topic. So, I don’t – there is no impact on our rating. That is a pure – a disclosure topic, finally, which might change from the notes into equity, so to say.
Horst Schneider – HSBC: Okay, thank you, but just one remark here. It certainly affects also the valuation from an equity perspective, so far, so that’s certainly important. Thank you.
Bodo Uebber: Yeah, yeah, of course, the equity gets reduced.
Horst Schneider – HSBC: Thank you.
Michael Mühlbayer: Okay. Next in line is (Albrecht Denninghoff).
Albrecht Denninghoff: The labor cost (indiscernible), could you give us an indication of how much you have – how many temporary workers you had on the group level and what is the aggregate contribution to labor cost flexibility of your flex time agreements on the group level basis? Maybe as an extra, could you elaborate on breakeven levels or whatever you had by – information you would like to share for the Truck and the Passenger Car business? Thank you.
Bodo Uebber: So, to your last question, we don’t share this kind of information where we have breakeven, because this could change also over the time, a lot of times. We have, in our agreement with the unions, we have a flexibility agreed, which is currently an 8% basis, based on the people working in production. And we can exceed and extend this numbers and with – in agreement with the local union, so to say, and we feel very comfortable with that approach and that agreement we are having here for the German operations. Of course, in our worldwide operations, of course, it’s differently, of course there and we don’t have this kind of agreement in the U.S., but I do think it’s also not necessary to comment on the U.S. or Mexico, and other countries.
Albrecht Denninghoff: Okay, thank you.
Michael Mühlbayer: Okay. The next question we take from (indiscernible) from Nomura.
Unidentified Analyst: Yeah, hi, thanks for taking my question. My question is basically a structural one. In last couple of quarters, you have been losing market share in Europe within the premium segment. At the same time, your competitors, like BMW and Audi, have been gaining market share. Do we understand that you may be looking at profitable growth, but at the same time, Audi and BMW, even though getting higher margins, they are increasing market share. So, where do you reckon the issue is? And why you think this market share is declining and probably what do you expect in future? I have another question and which is very basic, in terms of Trucks. You are seeing some small decline in orders in Europe, but are you – have you started seeing some kind of cancellation in orders, as well? Thanks.
Bodo Uebber: Firstly, to your question in market share in Europe, of course, we know that we have the – our aged product portfolio, as such, and therefore, of course, one element there is that the competitors are younger in their product portfolio and they gain market share in segments where we are currently not available, so to say, from a product portfolio. Therefore, we launched our strategy 20/20, where we will bring up 10 new models until 2014, ‘15 and in that, included, of course is for example, our five new derivatives and successive models for the A and B-Class and that should change the situation, of course, especially here in Europe, where we are also going for market shares. In Trucks, we don’t see any extraordinary cancellation pattern. It’s more or less normal when we compare that to average cancellations of the past.
Unidentified Analyst: Okay, Thank you.
Bodo Uebber: Please.
Michael Mühlbayer: So, last but not least, I have Christian Breitsprecher.
Christian Breitsprecher – Macquarie: Yeah, good afternoon. Christian Breitsprecher from Macquarie. I have two small questions left, one on Financial Services. There you are right that the repositioning of the Financial Services business in Germany burdened the result. Can you explain a little bit what’s behind it? What you have to reposition there? And thirdly, there were – couple of weeks ago, press reports that you had changed the Head of Mercedes in the U.S. Can you explain a little bit what’s behind it? Is there anything strategic behind it, or anything operational that went wrong in the last couple of months that made the changes necessary there?
Bodo Uebber: So, Christian, with regard to your question to DFS, our repositioning program leads to a transition period. In this transition period, we have to build up double capacity for the many movements we have in Germany between different regional places and between Berlin and Stuttgart and so on. So, we have a double capacity involved, so it’s not a provisional, so it’s a higher capacity, so to say, to make the transition between these different facilities possible. And that will change, of course, over time into 2012 and ‘13 to make it then the perfect fit, so to say, from this structural change in DFS. And that burdens so to say the third quarter in terms of cost. Your second question was with regard to the U.S. The reason for the termination in the U.S. is a violation of the internal code of conduct through personal wrong-doing of significant proportions, and the measures have been taken after considering the wrong-doings of the employee, as well as his longstanding contributions, making it unavoidable to take this step. Other than this, does not need to be commented. So, other topics are not there, no balance sheet topics and other stuff.
Christian Breitsprecher – Macquarie: Okay, thank you.
Bodo Uebber: Please.
Dr. Michael Mühlbayer – Head, Investor Relations and Treasury: Ladies and gentlemen, thank you for your question, for being with us today. Investor Relations remain at your disposal to answer any further question you may have. We hope to talk to you again soon. Thanks and good-bye.
Operator: Dear ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.